Operator: Good day, and welcome to American International Group, Inc.'s Fourth Quarter and Full Year 2025 Financial Results Conference Call. This conference is being recorded. Now at this time, I would like to turn the conference over to Quentin McMillan. Please go ahead.
Quentin McMillan: Thanks very much, and good morning. Today's remarks may include forward-looking statements, which are subject to risks and uncertainties.
Peter Zaffino: These statements are not guarantees of future performance or events and are based on management's current expectations. American International Group, Inc.'s filings with the SEC provide details on important factors that could cause actual results or events to differ materially. Except as required by applicable securities laws, American International Group, Inc. is under no obligation to update any forward-looking statements if circumstances or management's estimates or opinions should change. Today's remarks may also refer to non-GAAP financial measures. The reconciliation of such measures to the most comparable GAAP figures is included in our earnings release financial supplement, and earnings presentation, all of which are available on our website at aig.com. Following the deconsolidation of Corbridge Financial on June 9, 2024, historical results of Corbridge for all periods presented are reflected in American International Group, Inc.'s consolidated financial statements as discontinued operations in accordance with U.S. GAAP. Finally, today's remarks related to net premiums written are presented on a comparable basis, which reflects year-over-year comparison on a constant dollar basis and adjusted for the sale of Global Personal Travel and Assistance Business as applicable. We believe this presentation provides the most useful view of our results and the go-forward business in light of the substantial changes to the portfolio since 2023. Please refer to Page 29 of the earnings presentation for reconciliations of such metrics reported on a comparable basis. With that, I'd now like to turn the call over to our Chairman and CEO, Peter Zaffino. Good morning, everyone. Thank you for joining us to discuss our fourth quarter and 2025 full-year financial performance. I will begin with prepared remarks after which Keith will provide a detailed overview of our financial performance. Jon Hancock will then join us for the Q&A session. On our call today, I will briefly share key highlights from our excellent fourth quarter performance, review our outstanding full-year financial performance, provide brief commentary on American International Group, Inc.'s January 1 reinsurance renewals, discuss our fourth quarter strategic transactions, and highlight our progress on our GenAI and data and digital strategies. Finally, I will conclude with how American International Group, Inc. is positioned for continuing momentum into 2026. Let me begin with a brief overview of our fourth quarter performance and some of our key highlights. We delivered adjusted after-tax income per diluted share of $1.96, a 51% increase year over year. Underwriting income was $670 million, an increase of 48% year over year. Global commercial net premiums written grew 3%, despite North America retail property contracting due to our reduced appetite given the current market environment. We had strong new business growth led by international commercial, which grew an impressive 14% year over year. The accident year combined ratio as adjusted was 88.9%, our seventeenth consecutive quarter with a sub-90% result. The calendar year combined ratio was 88.8%, an improvement of 370 basis points from the prior year quarter. Overall, our fourth quarter performance reflects our consistent underwriting and closes out an exceptional 2025 for American International Group, Inc. Now let me walk you through our full-year financial performance. Adjusted after-tax income per diluted share was $7.09, an increase of 43% year over year. Adjusted after-tax income for the year was $4 billion, an increase of 24% year over year. For the full year 2025, we generated underwriting income of $2.3 billion, an increase of 22% year over year. 2025 was the first year since 2008 that we delivered greater than $2 billion in underwriting income excluding divested businesses, an important milestone in American International Group, Inc.'s journey. For full-year 2025, global commercial net premiums written were $17.4 billion, an increase of 3% year over year. Adjusting for the large closeout transaction in our casualty portfolio that benefited overall growth in that prior year, net premiums written increased 4%. North America commercial grew net premiums written by 4%, or 5% when adjusting for the large closeout transaction. With balanced growth across the portfolio that was partially offset by retail property which contracted 8%. International commercial grew net premiums written by 3%, primarily driven by property and global specialty, and partially offset by financial lines, which contracted 5%. In global personal, net premiums written contracted 3%, driven by higher ceded premiums under the high net worth quota share reinsurance treaty that we entered into at January 1, 2025. In early January, Ross Buck Mueller was named executive chairman of Private Client Select. We have tremendous confidence in his ability to guide the high net worth business and believe he will have an immediate and positive impact in positioning the business for the future. Overall, global commercial new business grew 9% year over year, International new business grew 10%, driven by global specialty, which grew 15%. North America commercial insurance produced over $2.6 billion of new business in the year, an increase of 8% year over year. We made strong progress reducing our expense ratio which ended 2025 at 31.1%, down 90 basis points from the prior year, and remain focused on achieving our Investor Day target of a sub-30% expense ratio by 2027. Our full-year accident year combined was 88.3%, and our calendar year combined ratio was 90.1%. Both outstanding results. For the full year 2025, excluding North America property, global commercial lines pricing, which includes rate and exposure, increased 2%, with a 6% increase in North America and a 1% decrease in international. As we've discussed throughout the year, property markets in North America remained under pressure, with increased competition in both the admitted and non-admitted markets. Retail property pricing was down 10% and excess and surplus lines pricing was down 13% for the year.
Keith Walsh: Despite the challenging market dynamics, the accident year and calendar year combined ratios remain excellent in property. In North America casualty lines, pricing remained favorable and continued to outpace lost cost trend with percentage increases in the mid-teens in wholesale and excess casualty. In North America financial lines, pricing was down 2% for the year, Pricing reductions moderated in the second half of the year with segments of our D&O portfolio ending the year with a positive rate change. In international commercial, overall pricing was down 1% or flat excluding financial lines, Unlike The US, pricing in international property was up 3% for the year, offset by energy where pricing was down 10% driven by abundant capacity. Net investment income on an APTI basis was $3.8 billion, an increase of 8% year over year, reflecting our shift to higher-yielding assets with strong financial ratings. Core operating ROE was 11.1%. A 200 basis point improvement year over year and American International Group, Inc.'s first adjusted ROE metric above 10% in over ten years.
Peter Zaffino: Importantly, we delivered a strong performance in 2025 while maintaining our disciplined approach to capital management. We returned $6.8 billion in capital to our shareholders, including $5.8 billion in share repurchases and $1 billion in dividends. We also increased our quarterly dividend by 12.5%, the third consecutive year with a dividend increase of 10% or more. Debt outstanding at year-end was $9 billion, and our debt to total capital ratio was 18%. We continued to reduce our ownership of Corbridge Financial generating approximately $2.5 billion in gross proceeds over the course of 2025. At the end of 2025, our remaining ownership stake was 10.1%.
Keith Walsh: This week, Nippon Life waived American International Group, Inc.'s 9.9% retention requirement which gives us the ability to sell down our position throughout 2026 which we intend to do, subject to market conditions and regulatory approvals. Since we announced Blackstone's purchase by 9.9% equity ownership in Corbridge Financial, in November 2021, American International Group, Inc. has realized nearly $20 billion from our Corbridge Holdings, when accounting for share sales, receipt of extraordinary and common dividends, and transition service fees. What's even more extraordinary is that American International Group, Inc. has been able to replace 100% of Corbridge Financial and Validus Re's earnings per share in just two years. Going forward, we're very well positioned with significant financial strength and liquidity to execute against our strategic objectives, our growth ambitions, and our capital management priorities. I'll now turn to reinsurance. But before I provide more details on our January 1 renewals, I want to share a brief context on the reinsurance market. 2025 started with the California wildfires, and that initially tempered reinsurance rate reductions for the industry. What followed was benign cat loss activity in the second half of the year resulting in increased reinsurance capacity. This dynamic drove a favorable renewal environment for insurers at January 1. As a general statement, although reinsurers were prepared to compromise on pricing, they remain disciplined on attachment points at one one. Our long-term belief in holding firm on attachment points has proven to be advantageous for American International Group, Inc. We've always said, once you give it up, you don't get it back, and that remains true today. Turning to our January 1 renewal outcomes, American International Group, Inc. achieved enhanced terms and favorable pricing. We benefited significantly from the current environment, with more aggregate capacity available in the market, or consistent buying, an attractive portfolio, and the exceptional relationships we've developed, with our reinsurance partners. Here are a few highlights. Our property catastrophe program continued to improve. The weighted average risk-adjusted rate decrease for American International Group, Inc. on property catastrophe is in excess of 15% yielding substantial year-over-year savings. The return periods of the attachments of our property catastrophe coverage is broadly lower across our geographies, and businesses. Our exhaust limit is at a comparable level for all regions worldwide. We were able to collapse the high net worth placement into our North America occurrence layer for the 500 x to 500 layer, And finally, we achieved further efficiency in our aggregate protection, including a single maximum contributing loss rather than a separate one for each of the North America commercial and global personal portfolios. For casualty, we're in a reinsurance market that differentiates for quality. And as a result, our treaty is renewed with exceptional pricing and terms and conditions. Our quota share in North America maintained a very attractive seating commission in the low thirties, Our excess of loss attachment and limits remain the same. As the expiring treaties. However, our rate on subject premium decreased year over year. Finally, we were able to add the Everest portfolio into the treaty at American International Group, Inc.'s pricing and terms without an increase in nominal cost. Overall, I'm very pleased with our one one renewals. Our approach to continues to be an important component of our strategy to minimize volatility in our portfolio and positions American International Group, Inc. well for 2026. In the fourth quarter, we announced several strategic transactions. These are innovative, capital-efficient deals without balance sheet complexity, technology debt, legacy liabilities, or meaningful expense investment. All are expected to contribute to American International Group, Inc.'s earnings, earnings per share, and return on equity in 2026 and we believe these transactions should be more accretive in '26 and 2027 than share repurchases. I'll take a moment now to provide an update on our progress. In October, we were very pleased to announce renewal rights deal for Everest's global retail insurance portfolio. The portfolio is well balanced across geographies and expands our global retail commercial footprint. And distribution access while adding business that is complementary to our portfolio today. As a reminder, the purchase price relating to Everest is calculated as a percentage of the total renewable premium of the Everest portfolio, which we now expect to be close to $1.8 billion after doing more work with Everest. This would adjust our purchase price down from a $300 million to $270 million with possible further downward adjustments of up to $70 million if less than 80% of the portfolio is renewed. We're making very good progress with the conversion of the Everest portfolio. We accelerated the conversion of $65 million in gross premiums written in fourth quarter, In January, we had a retention rate of 75%, reflecting approximately a $180 million in gross premiums written, an impressive result considering that we did not commence work to convert the book in Europe until we receive the required regulatory approvals in December. This is a terrific performance and a validation that clients and brokers want American International Group, Inc. to have an expanded role on their insurance placements. American International Group, Inc. has many advantages in executing this conversion. We have ample capacity to grow, reinsurance treaties that will benefit the business at a lower cost, and a more advantageous expense base given we did not need to replicate Everest's infrastructure to service the business. We expect the combination of these factors to drive a 10 benefit to the combined ratio of the converted business. To support the conversion, we leveraged our Gen AI capabilities to evaluate the Everest portfolio and prioritize the accounts we want to renew in a fraction of the time. As we've discussed, we've deployed a robust ontology of American International Group, Inc.'s businesses and we're able to quickly build an Everest ontology In essence, a digital twin of that portfolio, which allowed us to prioritize how the portfolios could blend together enabling us to deliver compelling solutions for clients and our broker partners. We reviewed Everest's portfolio to determine account limits. Attachment points, and pricing, and to identify conversion strategies. In addition, we leverage our GenAI solution underwriting by American International Group, Inc. Assist to accelerate the conversion process in key lines of business, increasing renewal speeds significantly. We're pleased with our progress and our focus on ensuring a smooth transition in the portfolio over the next three quarters. Now I'd like to share more detail regarding our investment in Convex Group, where we took an approximately 35% equity interest coupled with a 9.9% ownership stake in Comvex's majority owner Onyx Corporation. These investments closed on February 6 and they are expected to be accretive to American International Group, Inc.'s earnings within the course of the year. As part of the Convex transaction, we also took a 7.5% whole account quota share of Convex's business for 2026. Which will earn in over the year. Our share will increase to 10% in 2027, and 12.5% in 2028 and thereafter. This transaction was a rare opportunity to secure a long-term strategic partnership with one of the most highly respected specialty insurance companies and its majority shareholder. American International Group, Inc. has led the industry in utilizing third-party capital to develop innovative structures that create tailored risk-sharing solutions. After successfully launching Syndicate 2478 at the start of the year, We closed 2025 with the formation of Syndicate 2479, a new special purpose vehicle launched in partnership with Amwins and Blackstone in December, with a stamp capacity of $300 million of premium income. This partnership represents a differentiated model for portfolio underwriting supported by third-party capital including capital committed by the largest US wholesale broker. We expect it will generate premium growth and fee income for a modest incremental capital commitment. This is also the first time we've deployed our Gen AI capabilities in an SPV transaction. Partnering with Palantir, we use large language models to match data and define risk characteristics within Amwyn's program business. That were aligned with the syndicate's risk appetite. In addition to assessing future opportunities, this capability enables us to use advanced analytics to help shape the current portfolio. We have a strong pipeline of SPV opportunities, and we'll continue to pursue future opportunities for expansion in our specialty and other lines of business. I'll take a moment now to update you on our Gen AI initiatives. We've made significant progress embedding GenAI across our core underwriting and claims processes and expanding it across American International Group, Inc. As this work continues, our confidence has only grown our ability to drive industry-leading impact on our deployment of GenAI. Our top Gen AI priorities for 2026 include deploying underwriting by American International Group, Inc. Assist and claims by American International Group, Inc. Assist across the majority of our commercial businesses. Enhancing American International Group, Inc.'s ontology by developing a comprehensive digital twin of American International Group, Inc.'s processes, workflows, and data elements to drive enhanced speed and efficiency. Developing an orchestration layer to coordinate AI agents to drive better decision-making and reduce costs across the organization, and further utilizing GenAI for American International Group, Inc.'s SPV strategy portfolio analytics, and compute. Since our initial rollout of underwriting by American International Group, Inc. Assist, we've expanded its use to seven additional lines of business, including our Lexington business. We remain on track to complete our accelerated rollout to the rest of North America, UK, and EMEA in 2026. We're already seeing benefits from these efforts. For example, Lexington's business has seen a 26% increase in submission count year over year. As a reminder, at our Investor Day, we shared our ambition of reaching 500,000 submissions by 2030. As of the end of last year, we've already reached over 370,000 submissions demonstrating the robust opportunity. We believe our use of GenAI gives us a strong advantage going forward in this dynamic market. It's early days, but by deploying underwriting by American International Group, Inc. Assist in Lexington, we've delivered significant productivity gains.
Quentin McMillan: Focus on the orchestration of AI agents that can act as a force multiplier for our team. To do this, we're building an orchestration layer whereby we assign responsibilities to AI agents and determine when these agents are activated. The sequence of their tasks, what information they can access, how work is handed, to other agents, and instances when greater human oversight is required. We think of these AI agents as companions that operate alongside our teams with specific roles such as knowledge assistance, can provide relevant information in real time, advisers that can provide additional insight based on historical use cases, and critic agents that challenge the knowledge and adviser agents as well as the underwriter's decisions. Through the orchestration layer, we can coordinate these agents to work together to help streamline simple, repetitive, and lengthy processes to support decision-making. We made substantial progress on our Gen AI strategy in 2025 and remain focused on continuing to pursue the opportunities we see ahead to support our business goals. 2025 was an outstanding year of accomplishment, in which we delivered against our strategic operational and financial commitments and position the company for an exceptional 2026. Overall, we remain on track to meet or exceed the financial objectives we outlined at our investor day. We have strong momentum, with growth expected to come from multiple sources including organic growth initiatives, savings from excess of loss reinsurance, the continued successful conversion of the Evers portfolio, our whole account quota share with Convex, our special purpose vehicles, and the repositioning of our high net worth quota share at one one. Given our strategic transactions and several of the drivers I just mentioned, we're well positioned to drive premium growth into 2026. Because it's always hard to forecast, I'd like to take a minute to provide some perspective on what we see for net premiums written growth for the full year 2026 noting that this guidance reflects our views and assumptions as of today. For the full year 2026, we expect low to mid-teens net premiums written growth in general insurance and we believe that 2026 is already off to a very strong start. Before I hand it over to Keith, I want to briefly speak about the leadership transition we announced last month. I'm incredibly proud of our colleagues, and the work we've accomplished together, and I could not be more confident in American International Group, Inc.'s future. With the company well positioned for its next pay I felt it was the right time to retire as chief executive officer and transition to the role of executive chair of the board. I'm very excited to welcome Eric Anderson to American International Group, Inc. on February 16 as president and CEO elect. Eric is the right leader to take American International Group, Inc. into the next phase of its journey. He's a highly respected executive with nearly thirty years of experience at Aon. His accomplishments are widely recognized throughout the industry and he has consistently made positive contributions in every role he's held. Eric will be on the first quarter call, can share his perspective then. I want to assure you that he's fully committed to our Investor Day financial guidance and strategic objectives. I look forward to working with him and our outstanding management team to drive American International Group, Inc. forward from a position of strength. As American International Group, Inc. enters this next chapter, I have great confidence in our company's leadership, the foundation we built, and our ability to drive sustainable, profitable growth and create long-term value for all of our stakeholders. Thank you, Peter, and good morning. We had a strong fourth quarter and full year. Starting with the quarter, we continue to make good progress. With 51% growth in adjusted EPS and solid investment and underwriting results. This marks another quarter of improvement in our key financial metrics, while continuing to build the financial strength of our balance sheet. Adjusted after-tax income for the quarter was $1.1 billion, an increase of 31% year over year. Underwriting income was $670 million, an increase of 48% year over year, and net investment income was $954 million, an increase of 9%. Turning to general insurance. Net premiums written were $6 billion, an increase of 1%. This was driven by global commercial with growth of 3%. We continue to post excellent underwriting margins across general insurance, building on our multiyear track record. Accident year combined ratio as was 88.9%. A 30 basis point increase year over year. Accident year loss ratio was 56.8% a 100 basis point increase year over year or 70 basis points excluding travel. The increase was driven by additional margin in our casualty loss picks, favorable loss experience in the prior year quarter in global specialty, and change in business mix, as we grow more casualty over property. Partially offset by underlying improvement in global personal. General insurance expense ratio was 32.1% a 70 basis point improvement year over year driven by the acquisition ratio partially offset by a higher GOE ratio due to the reapportionment of expenses into the business from other operations. This will be the last quarter we talk about the pushdown of expenses into the business from our lean parent initiative. We achieved this in 2025 and have a clean baseline to compare 2026. Total catastrophe losses for the quarter were a $125 million, or 2.1 loss ratio points predominantly driven by hurricane Melissa Prior year development, net of reinsurance, and prior year premium, was a $116 million favorable. Which included a $120 million of favorable loss reserve development $31 million of ADC amortization, and $35 million prior year premiums. The favorable development almost entirely stemmed from North commercial with $94 million. Primarily driven by US financial lines, property, and Canada casualty. Overall, the general insurance calendar year combined ratio was 88.8%. A 370 basis point improvement compared to the prior year quarter. An excellent result. Now moving to the segments. 3%. The growth was driven in targeted areas, notably programs, which increased 17% Western World was up 14%. And excess casualty grew 11%. This is partially offset by retail and Lexington property which declined 1910% respectively. These lines continue to be where rate pressure remains most prevalent. Retention in North America was 89% in admitted lines. And 76% in Lexington. An excellent outcome for an excess and surplus lines business. New business grew 8% year over year. Driven by financial lines and casualty. North America commercial accident year combined ratio as adjusted was 87.2%. An increase of 260 basis points over the prior year quarter. The accident year loss ratio of 62.2% was up a 100 basis points owing to changes in business mix as we reduced certain property lines and earning more casualty and captives business, which are benefit beneficial to the overall combined ratio but carry a higher loss ratio. The expense ratio of 25% was up a 160 basis points, including a 60 basis point increase in the acquisition ratio due to change in business mix, and a 100 basis point increase in the GOE ratio owing to lean parent. North America commercial calendar year combined ratio 84.7%. An outstanding result and an improvement of 14.1 points from the prior year, driven by continued strong margins, lower catastrophe losses, and favorable prior year development. Turning to international commercial. Fourth quarter net premiums written increased 4%, This growth was led by global specialty, up 9% driven by marine, and casualty, which increased by over 15%. This was partially offset by financial lines, which was down 6% as retention remained strong, but rate pressure continues to weigh on growth. International retention remains strong at 87% which was balanced across the portfolio. New business was excellent. Up 14% year over year. Accident year combined ratio as adjusted was 85.9%, an increase of 230 basis points. The accident year loss ratio was 54.2%, a 130 basis point increase year over year. This was primarily owing to energy. Where market loss experience in 2025 was higher compared to an unusually favorable 2024. The expense ratio rose 100 basis points to 31.7% due to movement of expenses from other operations. The international commercial calendar year combined ratio was 88.8%, underscoring the strength, and consistency of the portfolio. Turning to Global Personal. Net premiums written were down 6% year over year largely driven by the high net worth quota share reinsurance treaty which was a headwind in 2025. Accidenting your combined ratio as adjusted was 95.3%, a 360 basis point improvement year over year adjusting for the divested travel business. The accident year loss ratio of 52.9% improved 60 basis points driven by the personal auto portfolio both from rate and underwriting actions within certain international markets leading to stronger underlying profitability. The expense ratio improved 300 basis points to 42.4% as the acquisition ratio benefited from improved commission terms in The US high net worth business. The global personal calendar year combined ratio was 94.3% an improvement of a 110 basis points year over year. Moving to fourth quarter pricing starting with North America. Excluding the property business, our North America renewal pricing increase was 6%. In North America casualty, the overall pricing environment remains favorable. With retail excess casualty up 15% and Lexington casualty up 12%. Both remained above loss cost trend. In US financial lines, pricing was down 2%. In line with the third quarter. We continue to believe our portfolio is strong, and we are well positioned as a market leader. In North America property, competition persisted both the admitted and ENS markets with incremental softening in mid market from the third quarter. We remain disciplined in our underwriting standards, and focus on targeted areas where we can achieve adequate risk adjusted returns. Accumulative rate increases over the past several years and disciplined approach enabled us to maintain strong profitability across our admitted and E and S businesses during this market cycle. International commercial, overall pricing was down 2%. Casualty pricing increased 2%. Global specialty pricing was down 1%, an improvement from the third quarter. Overall pricing remains above our technical view, following several years of cumulative rate increases, and we to see global specialty as an area of growth. Property pricing was down 2%, and financial lines pricing was down 4%. Our well diversified portfolio allows to navigate different market conditions, prioritizing lines of business that offer the most compelling risk adjusted returns. Moving to other operations. Fourth quarter adjusted pretax loss was a $129 million versus the prior year quarter of $150 million Looking at full year results, adjusted after-tax income was $4 billion an increase of 24% year over year. The improvement was primarily driven by stronger underwriting results an increase in net investment income, and expense benefits from American International Group, Inc. Next. For 2025, general insurance net premiums written grew 2%. General Insurance full year accident year combined ratio adjusted was 88.3%, largely in line with the prior year. The accident year loss ratio was 57.2%, a 100 basis point increase year over year or 40 basis points increase excluding travel. The increase was driven by the reapportionment of unallocated loss adjustment expenses additional margin in our casualty loss picks, favorable loss experience in the prior year quarter in Global Specialty, and business mix change as we grew more casualty over property. This was partially offset by a 120 basis point improvement in 31.1% compared to 32% for the prior year. This is an outstanding result given the absorption of nearly $300 million of corporate parent expenses in general insurance in 2025. We are pleased with our progress and believe we are on track to achieve our target expense ratio of below 30% by 2027. Total catastrophe related charges were $920 million or 3.9 points of loss ratio. Prior year reserve development, net of reinsurance and prior year premium, was $472 million, a benefit of 2.1 points to the loss ratio. The full year 2025 combined ratio was 90.1%, an outstanding result and an improvement of a 170 basis points versus 91.8% in 2024. Moving to net investment income. The fourth quarter net investment income on an APTI basis was $954 million, an increase of 9% year over year. Internal insurance net investment income was $881 million. Growing 13% year over year. During the fourth quarter, the average new money yield on our core fixed income portfolio including the fixed maturity and loan portfolio, was roughly 65 basis points higher than sales and maturities. The annualized yield was 4.59%, a 68 basis point improvement over the prior year quarter. For the full year, General Insurance net investment income reached $3.4 billion. A 12% increase over 2024. This was primarily driven by our core fixed income portfolio, contributing $3.1 billion, up 17%. This increase reflects the execution of our strategy to reposition the public fixed income portfolio globally to capitalize on higher yields while maintaining a strong overall credit quality of a plus. We recently announced a new partnership with CVC a world-class global investment manager with deep capabilities across credit, and private markets and over €200 billion of assets under management. American International Group, Inc. will be a cornerstone investor in CBC's newly established private equity secondaries evergreen platform, providing up to $1.5 billion from our existing $3 billion private equity portfolio. In addition, American International Group, Inc. will invest up to $2 billion in a separately managed credit account. Of which $1 billion will be deployed in 2026. CVC's new secondaries platform allows us to rebalance our private equity portfolio while driving operational, Turning to other operations. Net investment income of $73 million declined $20 million over the prior year quarter and largely reflects income from our parent liquidity portfolio of $60 million and Corbridge Financial dividend income of $12 million. Turning to capital management. For 2026, we intend to repurchase at least $1 billion of common shares subject to market conditions. As Peter mentioned, we are no longer subject to the 9.9% retention requirement from Nippon on our core bridge ownership. As we receive proceeds from the sell down of our remaining Corbridge position, we expect the majority will likely be deployed to additional share repurchases. We continue to execute our balanced capital management strategy. Driving long-term value through investment in organic and inorganic opportunities as well as prudent capital return to shareholders. Book value per share at December 31 was $76.44, up 9% from December 1, 2024, reflecting strong growth in net income as well as the favorable impact of lower interest rates offset by $6.8 billion of capital return to shareholders through dividends, and share repurchase. Adjusted tangible book value per share was $70.37 up 4% from December 31, 2024. In summary, we delivered an excellent 2025 with disciplined underwriting, strong earnings growth, balanced capital management, and execution of our strategic initiatives while investing for the future. We are well positioned to meet or exceed all of our Investor Day targets by 2027 or earlier With that, I will turn the call back over to Peter. Keith, thank you. Michelle, we're ready for questions. Thank you.
Operator: One one. If your question has been answered and you'd like to remove yourself in the queue, press 11 again. Our first question comes from Alex Scott with Barclays. Your line is open.
Alex Scott: First one I had for you is on the expense ratio. Yeah. There's obviously a bunch of moving pieces with corporate expenses coming in and some work to remove a portion of those as well as some of the AI initiatives. So I was hoping you could sort of talk us through what we can expect from the expense ratio over the next few years as as you're working through some of that?
Peter Zaffino: Thanks, Alex. If I start let's start with the fourth quarter. You know, one is it's like seasonally lumpy, and it's always usually the highest. So I wouldn't you know, really anchor off of the of the fourth quarter. I'll give you at least the variables. It's it's primarily and almost entirely the parent expenses. We had the last quarter in terms of taking a portioning and assigning expenses that sat in other operations in parent into the business, which has done an exceptional job of absorbing, creating bandwidth, you know, for the additional expenses. Also, in the fourth quarter, we had some onetime you know, approximately $20 million of PCS cleanup You know, there were some things that were left over in terms of the transition, and we just, recognize those in the fourth quarter. I would take a look at the full year. I mean, if you if you look at the full year, where, again, we were allocating parent expenses you know, north of $250 million You know, going from 12.6 to 13 was de minimis. The business did an exceptional job of you know, managing, again, additional expenses. It's fully loaded. We're not gonna be talking about this in 2026. As to additional, you know, allocations or expenses. And I would expect the expense ratio to be lower on a run rate basis when you compare 26 to 25. I mean, we're all over the expenses. We made enormous progress in terms of total expenses, and you know, this organization's incredibly focused on every single one of our investor day objectives. And and the expense ratio below 30 is a top priority, and and we will get there.
Alex Scott: Very helpful. Thanks. The next one I wanted to ask on is is just at a high level, the general insurance net premium written growth that you mentioned. You know, sounded pretty strong relative to what I was thinking. So I'd be interested, you know, what what portion of that is from the deals that you've announced as opposed to the organic growth? And the organic growth, where are some of the places you're you're getting that? And do we need to consider you know, sorta new business penalty or mix shift or anything like that as we're thinking through our loss ratio trajectory?
Peter Zaffino: Can I say nice try on asking for further guidance? No. I can't break out you know, look. We I wanna just make sure that we gave you a line of sight as to what we're seeing as of today. In terms of the growth. It comes from a variety of different places. I mean, we have absolutely, initiatives in place where we think that we can drive growth in the core business. You know, the reinsurance at one one was very beneficial for American International Group, Inc., and it was not dropping coverage, as I said in my prepared remarks. I mean, when I look at the return period attachment points on cap are lower, Exhaust is the same. We're not changing our, you know, risk tolerance. We kept the casualty the same. So it is really just on sort of same store sales getting, you know, the benefit of that. I don't know if we outlined it enough in terms of the convex, you know, sort of whole account quota share. And and the benefit of, you know, assuming that business you know, Amwins, you know, this was for the SPV, it was the first you know, one where we did third party risk. And so, you know, we are taking some of that on our balance sheet, and then the remaining is going into the SPV. So we'll see some organic growth from there. And you know, I I don't know how much I wanna go into this just because I wanna be able to take some other questions. But, you know, the high net worth was always supposed to be you know, I'd mentioned this well over a year ago that we were going to do a whole account quota share to bring in partners. We brought in five. And we would determine in a year or so if we wanted to reduce that. And so we did reduce it to three, and the three partners that we have you know, could be likely insurance company paper options down the road for the MGA. So there's will be less session you know, throughout you know, 2026. So I I think all of those are contributing in a way that is positive to growth and, you know, not one in particular is driving the outcome.
Alex Scott: Very helpful. Thank you.
Operator: Thank you. Our next question comes from Meyer Shields with KBW. Your line is open.
Meyer Shields: Great. Thanks so much. Keith, in your comments, you mentioned additional margin in casualty lines. I was hoping you could add a little detail to that.
Keith Walsh: Thanks, Meyer. Yes. We we did talk about that. You know, I wanted to just maybe level set a bit. One of the things we have talked about is you know, we've been very conservative, I think, on our casualty and probably ahead of the curve over the last several years. We talked about this at Investor Day. We raised our loss cost trend assumptions back in 2019 to double digits in this line. And so and by 2022, all excess casualty segments were at 10% or greater on our loss crush trend. But more recently, we're being we're being conservative in our accident year picks, putting extra margin in for our longer tail lines. It really, you know, puts us in a position where we view our reserves as a position of strength and we've put that additional margin in our casualty loss picks. And it's real largely related to macro macro uncertainties, and it's not related to any deterioration in our underlying portfolio. And while it's not specific to any risk, it's it's intended to cover uncertainties for things like social inflation and rising litigation costs. And so we feel really good about our positioning there. Wanted to highlight that.
Meyer Shields: Okay. That's helpful. Also, within GI, there's a decent sequential step up in interest and dividends, and I was hoping you could break it down. Is there anything unusual in there? Is that like a good starting run rate?
Keith Walsh: No. Thanks, Meyer. There's there's a lot going on in the investment portfolio, and the team really has done an exceptional job this year, in in really transforming Just to give you a little bit of you know, journey that we've been on, we we've gone from a largely in house asset manager when we owned Corbridge to largely outsourced at this point with key partners. And, you know, at this point, just to give you a stat, you know, CoreBridge of our $80 billion portfolio only manages, less than $3 billion at this point. And so we've really made that change. One of the things the team did this year is that we had many parts of the world we had much lower yields on the portfolio. We did actively turned over about 40% of the portfolio. And just to put that in in perspective, and and reinvest it in higher yields, of course, Just to put that in perspective, a normal turnover for us would be about 15% of the portfolio a year. That's an active 25% we turned over to reinvest at higher yields. Additionally, as you can imagine, we've been actively working with our private equity partners We've sold down our real estate portfolio, and and pushed the proceeds to one of our partners. And with the CVC deal we just announced, we're really cleaning up on the the PE secondaries where we just weren't earning an adequate return. On what on where we were, and we think we're better positioned there. So it's a combination of many things, but the piece you're talking about is really the reinvestment into higher yields around the world.
Meyer Shields: Fantastic. Thank you so much. Next question.
Operator: Thank you. Our next question comes from Bob Huang with Morgan Stanley. Your line is open.
Bob Huang: Hi. Good morning. Just want just maybe dig a little bit deeper onto the the AI commentary, maybe starting with when you talked about 2026 being the implementation for orchestration layer on AI agents. Not not sure if you have an answer for this, but if we think about the infrastructure software side of things, would this be an orchestration that sits on top of all the technology for American International Group, Inc. and then thus manage that way, or is the orchestration layer just for localized AI systems? And then it essentially would manage localized AI initiatives. Like, is there a way to think about that?
Peter Zaffino: So thanks for the question. I think what we were referencing you know, we have made incredible progress in terms of the implementation of Gen AI and also trying to stay aligned with the advancements of the tech companies that are making you can see it in this quarter, just massive CapEx but also making material progress on their their capabilities. So, like, when we talked out at Investor Day, didn't really even talk much about orchestration. And we thought that what we had outlined in March was aspirational and, you know, six to twelve months later, we see the capabilities are much greater. And so not only are we making massive advancements with data ingestion, shrinking digital workflow, but also in the large language models and the advancements, you know, I'll use Anthropic as an example. We start off with claude2.o, and know, we're now at four six. And so, like, know, a lot of those advancements. What I was referencing on the orchestration is just that the implementation of single agents throughout organizations is real. And there's great opportunities in functions, in mid office, in front office, but orchestrating that in an orderly way of being able to get that at scale is what we're gonna focus on in 2026. And so we've been experimenting with multiple agents on the underwriting side. Then the functional side. I'd also add into, like, you know, our back office You know, we outsource to Accenture. I'll give you an example there. And they're doing an incredible, you know, job in terms of reinventing themselves in their ability to, you know, create agent large language models. We share in the savings. We share in the design of the orchestration and how it actually comes into our workflow. So I would expect to be giving you updates throughout the year. Terms of the progress that we're making, and making sure that it's not only you know, it will be on the technology stack, but I'm talking more about orchestrating a significant amount of agents within the organization that are more organized.
Bob Huang: Got it. So it sounds like a lot of opportunities on integration and AI side of things. Absolutely. But maybe just a follow-up on on that. You've been on this technology and AI journey for some time now. Given the progress you've made thus far, what are the low hanging fruits that you think that are you're readily that you're ready to take advantage of and then that can maybe show up in the numbers. What are more of the complicated projects that you're excited about that perhaps is more further out five years down the road?
Peter Zaffino: Yeah. Thanks, Bob. I mean, the first one is absolutely to reduce cycle time with a higher quality data to the underwriter. I mean, we're seeing, like, a you know, massive shift in our ability to process a significant submission flow way beyond our expectations without additional human capital resources. So that's been the biggest surprise. There's some training that's gonna be required for us in terms of know, what does the underwriter you know, look at if it has all of this rich information in a fraction of the time. So that's a part of, you know, our training, and we've been doing that in in '25, and we'll accelerate in '26. I I wanna repeat the answer that I you know, just you know, gave you, but I think the the real long-term opportunity is going to be you know, getting the orchestration of agents in in an organization, to be able to scale and, you know, be able to analyze that information that's not biased in a way that's through the entire workflow. So I think of, like, you you think of a digital workflow from front to mid to back, you can shrink all of that with the implementation of GenAI and multiple agents with a proper orchestration. And there's a lot of companies that actually have orchestration capabilities. It's just a matter of doing it within your own sort of framework, and making sure that you're working with the regulators and being, you know, very you know, forward-thinking in the partnership there. But I think the acceleration and the opportunity is greater than I thought at Investor Day.
Bob Huang: Got it. Really appreciate that. Thank you.
Operator: Thank you. Our next comes from Elyse Greenspan with Wells Fargo. Your line is open.
Elyse Greenspan: Hi, thanks. Good morning. My first question is on the expense ratio. Do you guys, you know, thirty one one for for 25. You know, you guys reaffirmed the thirty percent twenty twenty seven target. Should we think of that as the improvement split between the next two years? Or is there anything, I guess, you would highlight with the expense ratio we think about getting you know, from where you guys are to your your target.
Peter Zaffino: No. I think, Elyse, I I think I outlined, you know, that really, the expense ratio was a direct correlation to the parent expenses being taken from other operations and putting into the business. And, again, I have to say the business did an exceptional job We will not have that, headwind in in 2026. I think from the expense discipline I think this company deserves a lot of credit for its ability to execute transformations, whether it was 200 or what we did in the underwriting or what we did with American International Group, Inc. next. This is in the DNA of the company. We will get the expenses out. We'll also get leverage from, you know, very strong premium growth. So I I I think that there's I don't wanna revise guidance, but we are not nervous about getting to this in '27, and we expect to see meaningful improvement in in 2026. And and it'll be much more predictable.
Elyse Greenspan: Thanks. And then my second question is just on the the capital color. Keith, I think you said a minimum of $1 billion. I just wanna make sure I'm understanding. So that's the the baseline. And then if the Corbridge stake is monetized, that would come on top of the $1 billion in 2026?
Keith Walsh: Hey, Elyse. Yes. That is correct. So we said at least a billion is our baseline. And then any core bridge proceeds the vast majority of that will be deployed into additional share repurchase.
Elyse Greenspan: Thank you.
Operator: Thank you. Our next question comes from Paul Newsome with Piper Sandler. Your line is open.
Paul Newsome: I was hoping Peter, to maybe, ask a big picture question as we get closer to end of the call. About your experience in the soft market and, you know, what you think generally how things will evolve You can tie it to what you think what's gonna happen with revenues and in the next year or just in general if you think that this extension this is an extended top market or something that could be short.
Peter Zaffino: Thanks, Paul. I'm gonna ask Jon. I can't have Jon fly all the way from London and not answer a question, and he has more experience on the underwriting side than I do. But I I the one big material item is you have to prepare for this well in advance. I mean, so in in terms of how you're shaping a portfolio, if you wanna be opportunistic I think we've been incredibly thorough throughout the globe in terms of looking at and being very consistent on underwriting standards we always talk about getting the best risk-adjusted returns. We look at volatility. We look at loss cost. We look at margin on loss cost. And we look at our ability, you know, to scale And, also, a very real and, you know, honest with humility discussion around our relevance on those products in the marketplace. And I think we have leadership on so many of the products. And, also, you know, not always looking at just the index. In other words, like, you know, we've seen property you know, come off with rates. We wanna be very careful. We're not looking to grow it. The property had its best year on an accident year basis, on a calendar year basis, from a combined ratio, across American International Group, Inc. I mean so, like, we wanna make sure we're not overreacting but being very conservative in terms of how we're actually you know, deploying capital. So I don't think the entire market's in a soft market. I mean, property always gets the headline where the, you know, minus tens and E and S might be slowing down. But I'm like, E and S again, I like to look at submission count retentions and our submission counts, you know, and parts of Lexington are up 30%. That's a positive, and then you wanna make sure that you're positioned in a dislocation I think when I look at, like, Lexington, global specialty, next time there's a market turn, you know, we are gonna be able to grow substantially. Jon, maybe you could talk a little about cycle management.
Jon Hancock: Yeah. Thanks, Peter. And I and I agree with you. I know we all talk about the market. I don't I don't think you know, for twenty, thirty years, there's been such a thing as the market. There's multiple markets, multiple cycles going on at any one time. And it's not the entire market that's dipping now. And this is all about being ready for it, isn't it? We we have had in some places when sales and people are talking about the hard market for the last years, not everywhere it's been hard in rates. So we've been planning for for this for a long time. We've changed some of our processes, robustness over our reserve reviews, our our loss picks, our inflation planning, our margin planning is has been strong anywhere. We've improved hugely in readiness for for for this. We monitor micro segments. We monitor new versus new. We monitor different, geographies. And we really do know firstly, where the big growth opportunities are and also where the highest margin opportunities are. But we're also very, very clinical on where our risk-adjusted returns are and what we will and won't write. So and we we talk a lot on these calls and and then and then other forum. We we have this diverse portfolio across the whole globe. And there is no single market going. There are rate pressures. Of course, Rob. We're not in denial about that. It's not everywhere. It's not at the same time. Different products, different geographies or at different stages of of the cycle. So we react to that, and we we go looking for where the best opportunities are that that suit us. And I'll just finish then. And I think it's important to know you know, that the risk of sounding arrogant. We are really well positioned to manage this. And we are not an index for the market. If if I saw our rate, our risk-adjusted returns exactly the same as the market. Yep. I'd be very disappointed actually because we we try and do things differently and use our capacity and our capability together.
Peter Zaffino: That's great, Jon. And I think also, Paul, I'd just add one other thing is that you set the entire company up for these markets, just not the underwriting portfolio. What's your leverage? What's your cash flow? Know? What do you have for liquidity? How strong is the balance sheet? How strong have your loss picks been? How confident you're on the accident year loss ratios, when you're looking to improve combined like we are, we're taking it out of the expense because of efficiencies. And how much have you been investing for the future as the world changed at a rapid pace where I think we've been a leader in Gen AI? So I think that we do a kind of, like, look at it really broadly and then making sure that, you know, the underwriting are really focused on, you know, delivering those returns.
Paul Newsome: Okay. Want Paul, you want a last follow-up?
Paul Newsome: Was just gonna ask you about M and A. You you you may send in your comments that the recent deals have been or you're doing hopefully better than buybacks. Is that kind of the baseline if you think prospectively for any
Peter Zaffino: Not always. I mean, but I think it's a you know? Wanna be able to tell you, you know, how do we think about it in terms of earnings, EPS, ROE, and how is it you know, compared to share repurchase for sure. I I don't I don't wanna say always or never, but in today's environment, that's why Keith gave the guidance he gave is we think the best use of the proceeds from Corbridge today is in share repurchases that we've done some compelling investments that are gonna help propel American International Group, Inc. over the next two years. And then as we get to the back half of twenty six, we'll look in terms of, you know, what those trade offs are in the future.
Paul Newsome: Appreciate it. Thank you very much.
Peter Zaffino: Okay. Thanks, everybody. We really appreciate you participating today, and everybody have a great day.
Operator: Thank you for your participation. You may now disconnect. Good day.